Francois-Henri Pinault: Good morning to all of you, and thank you for joining our 2020 full year results call. I am Francois-Henri Pinault, Chairman and CEO; and with me today are Jean-Francois Palus, Group Managing Director; and Jean-Marc Duplaix, Chief Financial Officer. 2020 was definitely not a typical year and not what we were preparing for when we reported, recall 2019 performances, last February. It's been a period of constant disruption. Facing unprecedented challenges, the Kering teams reacted with undeliverable dedication, agility and of course, imagination. And I want to start this call by thanking them wholeheartedly. Our solid group performance is entirely due to their efforts. All our teammates also worked tirelessly to ensure the safety of our clients and to support the communities in which they operate. Our vision of luxury has not changed. In fact, quite the contrary. The pandemic has accelerated trends that were already at work. Geographic and demographic factors remain key drivers of our sector's growth. And while the interruption of most travel has impacted how people shop, tourism is not gone for long, and luxury shopping will remain a central part of leisure travel experience. Our confidence in the long-term trends that propel our industry is intact. Our investments of recent years reinforced our capabilities, particularly in e-commerce, which proved to be instrumental in 2020. Our strategy and business model, nurturing the creativity of our houses and providing them with first-class platforms enabled us to weather the crisis. And as a result, we delivered resilient performances. Our strategy, business model and financial health will enable us to come out of the crisis stronger and fitter and to continue maximizing the potential of all our brands. Jean-Marc will now review our performances in 2020 and then Jean-Francois and I will discuss what we are doing in our houses and at group level to fully leverage the rebound. And finally, of course, we will take your questions.  Jean-Marc?
Jean-Marc Duplaix: Good morning to all of you. As Francois-Henri just said, the group delivered a very resilient, very solid 2020 financial performance, thanks in large part to its scale and agility. I will start by sharing some highlights on Slide 6. Beginning with revenue. At €13.1 billion, sales were down 17.5% in reported terms and 16.4% comparable.  The first half accounted for the bulk of the decline, down 30% comparable, while in the second half, the decrease was very moderate, around 3%. Clearly, Asia Pacific and North America stood out with a strong H2 rebound, resulting in a single-digit full year decline. Both regions enjoyed dynamic trends in Q3 and Q4, fueled by local demand and repatriation. They are also less exposed to tourism and were somewhat sheltered from new lockdown measures. On the other hand, revenue in Western Europe and Japan declined by close to 30% over the year. Turning to recurring operating income, which stood at €3.1 billion, down 34%. Here again, we had 2 very different halves, with H1 down close to 60% and H2 decline contained at 14%. In the first half, we focused on cost control to mitigate the sudden impact of falling revenues, and we successfully managed operating deleverage. In the second half, we maintained strong cost management while gradually resuming initiatives at our Houses. We worked to balance profitability protection and investment in our brands and operations to prepare for 2021 and the longer term. This is reflected in our full year operating margin close to 24%. Thanks to a more supportive top line and despite ongoing reinvestment, the H2 margin came above 28% for the group and close to 31% for our Luxury Houses. Next, free cash flow generation, which, as you remember, was impacted by one-offs in 2019. In 2020, it rose 38% to €2.1 billion, of which over €1.5 billion in the second half. We maintained CapEx at 6% of revenue, prioritizing our growth platforms and brand development plans while tightly managing our working capital requirements, notably inventories. As a consequence, net debt was just above €2.1 billion at year-end, down more than €660 million year-on-year. This is excluding lease liabilities. Switching to Slide 7, another view of our Luxury Houses revenue by channel. Retail represented 78% of the mix and was down 16% comparable in the year. There is a clear correlation between the quarterly performance and the percentage of stores closed. In Q4, retail was down 3% as store closures increased again to 10% on average, mainly due to new lockdowns in Western Europe, but also some restrictions in North America and a few Asian countries. As you know, 2020 was a year of acceleration for our e-commerce, up 67%. Conversely, wholesale declined 17%. This reflects both short-term pandemic impacts and our longer-term strategic decision concerning this channel, as we discussed on earlier calls. Slide 8 provides more insight on quarterly retail performances by region. In Western Europe, looking at Q4, the trend was roughly in line with Q3 despite new store closures and a strong contribution from tourism in 2019. The peak of store closures was reached in November, but that did not lead to a material deterioration in any of the countries in the zone. This shows that locals were keen on spending and that they adapted their behavior to this constrained environment. North America posted a solid quarter, but as anticipated, it showed a sequential deceleration after the very strong Q3. In 2019, we had recorded a sharp rebound in Q4, creating a tougher comp. All told, full year revenues in North America were unchanged, a notable performance in the context. Japan improved in Q4 on a somewhat easier comp base, containing its decline to 10%, supported by nice growth with local customers. Asia Pacific continued its momentum, up 17%, with Mainland China and Taiwan once again driving the growth. In Korea, we did well with locals, but were still penalized by the lack of tourists. Hong Kong on a low comp base and Macau were less of a drag. Now on Slide 9, a quick overview on e-commerce. At 13% of our worldwide retail sales, penetration nearly doubled year-on-year. In Western Europe and North America, it exceeded 20%. This might not be normative, but at the same time, penetration in Asia Pacific has started to catch up, and there is still plenty of potential in the region for our brands. Let's turn to Gucci on Slide 10. Revenue for the full year exceeded €7.4 billion, down 23% reported and 21% comp. In Q4, retail was down 7%, with Asia Pacific and North America performing well and a particularly strong momentum in e-commerce. Online represented 14% of retail sales for the full year. It's worth noting that the store network shrunk by 9 net units in Q4 and 4 in the full year. Wholesale rationalization is ongoing, down a further 31% in the quarter. In Q4, wholesale already stood below 10% of revenue following further streamlining of multi-brand doors during the year. Recurring operating income amounted to €2.6 billion at 35.1% margin with H2 at 38.6%. The responsiveness Gucci demonstrated in managing its cost base in H1 was evidenced again in H2, freeing resources to reinvest in communications, digital, retail and clienteling initiatives, as we will discuss later. CapEx focused on priority projects and was adapted to the environment, taking into account constraints in terms of store refurbs, openings and relocations. On Slide 11, some highlights on Saint Laurent, which demonstrated throughout the year both its resilience and the strong potential it enjoys. At €1.7 billion, 2020 revenue was down 15% reported and 14% comparable with H2 up 2% comp. Q4 was up 1%, with retail advancing 35%, while wholesale was down on later shipment of the spring collection and the start of rationalization. In retail, the brand was supported by the success of its winter collection and continued development in Asia Pacific. In North America and Western Europe, Saint Laurent also benefited from its strong affinity with local customers. E-commerce kept growing fast on a relatively limited penetration so far and the brand's full migration to our internal platform in early October provides plenty of new pockets of growth. Recurring operating income stood at €400 million, close to 23% margin for the full year.  This is a strong outcome as the brand pursues ambitious investment to deepen its penetration and raise customer awareness in certain markets. Consistently, CapEx was prioritized towards network expansion, with 17 net store openings, mainly in Greater China and Korea, where the brand enjoys the greatest potential. Moving to Slide 12. Bottega Veneta's brand desirability drove sales into positive territory for the full year, up 4% reported and 5% comparable, reaching €1.2 billion. H2 was up sharply, plus 18% comparable on top of a positive H2 last year. In Q4, revenue was up 16% comparable, driven in retail by full price sales only, the brand's new collections for both men and women having now reached cruising speed. Iconic lines and launches are attracting a healthy mix of existing and new clients. Bottega Veneta store count contracted by a net 7 units in the year, of which 3 net closures in the last quarter. In wholesale, performance was once again very strong in Q4, thanks to the appreciation of the collection across all product categories. The brand maintained its highly exclusive approach, working with a stable and very limited number of wholesale partners. Bottega Veneta is continuously investing in its long-term growth. Full year recurring operating income was €172 million, a 14.2% margin. The second half margin was up year-on-year to slightly above 18% on revenue recovery. CapEx was dedicated to enhancing the network with a mix of relocations, renovations and highly selective openings. On Slide 13, our Other Houses altogether delivered a resilient performance with full year revenue of €2.3 billion, down 10% reported and 9% comparable. In H2 alone, revenue was up 6% comparable. In Couture & Leather Goods, the growth was fueled by Balenciaga and Alexander McQueen, up double digits in the last quarter across channels, notably in Asia Pacific and North America on high comps. Both brands posted revenue growth for the full year and successfully expanded their margins.  It's a clear demonstration of the success of their development plans. They continue to enjoy plenty of growth potential in terms of both product categories and geographies as well as online, thanks to a full omnichannel approach. Jewelry and Watches suffered during the year from the impact of the pandemic on their respective markets. They are implementing in-depth transformation initiatives to upgrade distribution, enhance their offer and invest in high-visibility communications, and we are encouraged by their progress. In Jewelry, Qeelin, our fastest-growing brand and Boucheron capitalized on the success of their collections and their increased penetration, especially in Mainland China. Boucheron's successful expansion in Asia Pacific somewhat offset headwinds in Western Europe, while Pomellato is still in the early stages of its international development. Recurring operating income of our Other Houses was €180 million, down over 40% year-on-year. The H2 recovery was very steep, yielding at 14.1% operating margin, up slightly year-on-year. The full year margin stood close to 8%. CapEx was nearly stable in 2020. We prioritized the expansion plans at Balenciaga and Alexander McQueen. On Slide 14, you will find our Corporate and other segment. On the revenue side, total revenue of Kering Eyewear amounted to €487 million, translating into a contribution to consolidated sales of nearly €400 million. Revenue trends strongly impacted, especially in travel retail, improved in the second half as the teams responded to the crisis with innovative approaches to market. In this difficult context, Kering Eyewear increased its operating profit. At €232 million, the segment's negative EBIT improved versus last year. Costs related to corporate LTI plans were lower and other expenses tightly managed without impairing the group's ambitious digital and innovation projects. Following the same logic, CapEx increased on acceleration of major investments to strengthen our logistics and IT backbone. The remaining lines of the P&L are summarized on Slide 15. Other nonrecurring operating result was €163 million positive. This result includes a positive impact of €705 million following the disposal of 5.83% stake in Puma. The realized gain on disposal is €260 million and the unrealized revaluation gain is €445 million. Please bear in mind that following this transaction, our remaining 9.87% Puma stake is booked as a financial investment, i.e., nonconsolidated. Total charges were €542 million, mostly relating to impairment of goodwill, brand and other fixed assets at Brioni and our watchmakers. As you know, this comprises €390 million already booked in H1. Net financial charges amounted to €341 million. They include interest on lease liabilities for €130 million. Excluding this, financial charges were €228 million, up slightly year-on-year. Cost of debt at €43 million improved, thanks to the decrease in the average coupon, more than offsetting the increase in average bonds outstanding. Other financial charges rose to €186 million, driven mainly by the cost of currency derivatives and to a lesser extent, by the impact of Puma's share appreciation on the derivative component of the exchangeable bond. Corporate tax amounted to €759 million. As expected, the tax rate on recurring income was close to 28%, stable year-on-year. Group net income from continuing operations, excluding nonrecurring items, was close to €2 billion. A few comments on free cash flow, net debt and other key metrics on Slide 16 to 18.  Our free cash flow generation was €2.1 billion, a strong performance in this disrupted year. We successfully focused on tight management of inventories and working capital. Our operating working capital represented just below 23% of revenue, a touch higher than usual, but still a well-controlled level leading to a very satisfactory return on capital employed. Group CapEx was close to €800 million or 6% of sales, showing our continued investment in our brands and platforms as well as our financial discipline and adaptability. At year-end, net debt was €2.1 billion, not including IFRS 16 lease liabilities, which amounted to roughly €4 billion. This is after €1 billion in dividend payments, €900 million including lease liabilities repayment plus related interest and €656 million from Puma's disposal. This ends my remarks. So let me now pass on to Francois-Henri Pinault.
Francois-Henri Pinault: Thank you, Jean-Marc. I would like to spend the next few minutes with the help of Jean-Francois going over our action plans for the coming months and years. They provide the ground for our strong conviction that we are very well positioned to leverage the rebound. On Slide 20, you will recognize the 4 major trends we have identified in our industry and the strategic initiatives we have put in place to anticipate and to ride these trends. These 4 pillars will articulate the rest of our presentation.  First, all our actions are guided by a corporate culture that is in sync with the values of younger luxury customers looking for transparency and purpose in all their interactions. Kering and its houses are at the forefront of our sector when it comes to sustainability, responsibility and inclusivity. Touch points, connecting brands and consumers have become far more diverse, relying on a multiplicity of technologies. I will give you some examples of our houses market approaches in this changing landscape, including programs whose rollout was stepped up last year in response to the pandemic. This being said, distribution and retail, in particular, remains our key point of interaction with clients. As the nature and spread of our channels expand, we are tightening our control over the many ways our creation are sold in the physical and digital worlds directly or from third parties. Jean-Francois will review these initiatives. It will also give you a quick rundown of our progress in deploying the growth platform we are putting in place to amplify the power of our brand and on our financial priorities. So let's start with our values. We keep on delivering on our commitments and strengthening our leadership position in sustainability. Some of our key 2020 achievements are summarized here on Slide 21, and I'm not going to go through all of them, but they show very satisfactory progress toward our goals. In particular, since 2015, we have reduced by 29% the environmental impact of our entire supply chain from the farm to the store, and we are on track to reach our 40% reduction target by 2025. At the end of last year, the Fashion Pact that we were instrumental in putting together and which congregates 1/3 of the fashion industry, released its first year progress report and identified 7 tangible targets across 3 themes: climate, biodiversity and ocean. Finally, with Conservation International, we just launched our Regenerative Fund for Nature. And the objective here is to transform 1 million hectares of farmland producing raw material for the fashion industry to regenerative agriculture over the next 5 years. It is an important step in achieving our commitment to have a net positive impact on biodiversity by 2025. Of course, we will continue to intensify our efforts and report on our progress. Our houses have always blended art and science, imagination and precision to deliver the best products and experiences to their customers. This process has intensified in 2020, as they search for new ways to reach their audience, but these practices will endure and expand in the future regardless of the conditions. We plan to invest significantly in 2021 to innovate and advance our positions on a number of fronts. The fact that all our houses constantly think about the best timing for launches is not new, but restriction on physical shows, fashion weeks and travel in general have added new elements to our reflection. Gucci has decided to cancel its cruise fashion show and to concentrate on 2 signature fashion events in spring and fall, not necessarily correlated to the International Fashion Week calendars. It goes along with a new always-on pace of regular additions, either newness or extension of the collection, as well as collaboration and capsules, supported by a superior cadence of digital storytelling. The successful North  Face collaboration in the early part of this year is a perfect illustration of this, and a wide diversity of events are planned for the year. In addition to the calendar, our houses have refuted the presentation of shows and adopted formats best suited to their goals. The 7-episode Gucci Ouverture video presentation of its upcoming collection resonated with a large audience and generated nearly 200 million views in its first week. And the same goes for Saint Laurent's beautiful desert staging of its spring/summer 2021 video, attracting more than 120 million viewings. And by contrast, Bottega Veneta made a deliberate choice to go intimate and itinerant in line with its overall philosophy. At the same time, our houses reflect on the structure of their collection. The lockdown has given Gucci an opportunity to draw a creative path for the coming years, starting with a centennial in 2021, carrying forward the brand's momentum. Gucci is strengthening all categories with a special focus on handbags. All Kering brands constantly look at leveraging their merchandising skills to capture larger market opportunities. Gucci is doing so within its core categories, proposing a growing assortment of higher-end products to a more local customer base. Bottega Veneta has demonstrated in the past 2 years its ability to resonate beyond its leather goods heritage with a growing contribution from shoes and, to a lesser extent, ready-to-wear. Other houses are expanding from the strong franchises they've built, like Balenciaga and Alexander McQueen, who have successfully grown their footwear presence beyond sneakers. Balenciaga's return to haute couture is a perfect example of this gradual and deliberate movement. Turning to asset digitization, an area where we are making significant headway is 3D design, where Gucci and Balenciaga, in particular, are ahead of the curve and expanding these technologies to several categories. The digital assets that result can be exported to our e-commerce sites and support more immersive experiences. We are in the process of unifying the platforms used by our houses to boost efficiency. The move towards virtual showrooms underway in all our houses partly for sustainability reasons, was accelerated by the pandemic.  Sophisticated platforms enable buyers to recreate the showroom experience. They include clever features such as enhanced sizing at Gucci or virtual tours or physical showroom at Saint Laurent. These platforms are here to stay. They reduce the need for travel, and we are told by buyers that our solutions rank among the most advanced in the industry. Third, we are perpetually nurturing the visibility and engagement of our houses with their global communities, creating strong, emotional bonds that go way beyond the products. Gucci's brand visibility and social media presence are among the highest in the world, measured by Instagram followers, Google searches or many other metrics. It gives it the power to attract huge audiences like the 1.7 million people who registered for the raffle is organized for the recent North Face collaboration, which even led the site to briefly crash. Then Gucci's launch on China's Tmall sets record, which is now being replicating with Gucci Beauty. On the other side of the scale, to support the most intimate ties with the brand, Gucci is bringing to other location, the Osteria Gourmet restaurant model. It premiered in Florence, and is also adapting versatile-type stores to other cities. The Saint Laurent spring/summer show, I mentioned, also featured see now, buy now possibilities, notably through Instagram shoppable posts. I could cite many other accomplishments, but I will only mention Balenciaga's widely acclaimed Afterworld video game for its fall '21 collection. As you probably know by now, Bottega Veneta is taking a very different approach to client engagement with a strong but indirect social media presence, emphasizing at the same time, more tangible manifestations like the chain you see here on the slide. While each brand is adapting its strategy to its specific and changing needs, we are able to monitor the efforts at group level to maximize efficiency and export best practices from one to the other. Fourth and finally, our houses seeks to always provide our clients with the best experience. The conditions in 2020 have sparked an area of new solutions, using or expanding the technologies we have put in place over the past years. All Kering houses are investigating a range of immersive experiences to retain the attention and imagination of their audiences. Kering Eyewear and our jewelry houses, as well as Gucci Beauty, have introduced virtual fitting modules on their sites. Distant selling is an area where we made gigantic progress in 2020, giving our sales assistant the opportunity to leverage their store setups and inventories when customers could not be physically present. Revenues from distant selling rose sharply during the year, resulting in healthy conversion rates and representing a far from negligible portion of retail sales in Q4. It's about 400 sales assistants from 6 of our houses and in 16 countries that were trained, bringing a true luxury shopping experience to distant selling. In an environment where it is more important than ever to attract and retain locals, we are working on a range of CRM programs, partly relying on artificial intelligence to reactivate inactive clients and one-timers, testing different algorithm across our brands with promising results at Saint Laurent, Balenciaga, for example. We are multiplying the number of events aimed at existing and potential very important clients, highly targeted and differentiated by market, both in stores and off-site. Gucci's engagement with top clients, focused around watchmaking, jewelry, precious skins or other high-end pieces and is particularly important.  We're excited by the richness of the universe each of our house is creating, tapping all the resources of the physical and digital worlds. 2021 will be another fruitful year in that respect, and we will put the power and the resources of the group behind these initiatives. Now Jean-Francois will take it over from here.
Jean-Francois Palus: Thank you, Francois-Henri, and hello to all of you. I don't need to tell you that the future of distribution in our industry is omnichannel. What we are doing is increasing our direct control over distribution in all compartments of this omnichannel world. Let's start with our physical retail footprint, which remains a key element in the distribution strategy of all our brands. For many customers, in-store shopping experience is irreplaceable, and we've seen it in the form of good traffic recovery as soon as stores reopened. We are convinced that in-store shopping will continue to grow alongside e-commerce and will remain the dominant way to deliver the ultimate luxury experience when tourism returns, as it inevitably will do. In this context, we implement deliberate retail strategies, well adapted to each of our houses. Some of them, like Boucheron, which is carrying out a successful expansion in China, are exploiting the considerable potential they have in certain markets. This is also true for Alexander McQueen and Balenciaga, for example, as well as for Seymour. By contrast, the store networks at Gucci and Bottega Veneta are closer to their potential, at least, in terms of numbers. And for all of our houses, work on the quality and composition of the network is something that never stops. The mix of flagships, freestanding stores and corners needs constant fine-tuning. Take Bottega Veneta, whose overall number of directly operated stores was stable last year, but is working on important relocations, like the opening of its Omotesando Flagship in Tokyo. Taking into account expected changes in traffic pattern, we have put on hold certain expansion projects and might be looking at some store closures where appropriate. On the other hand, to keep their retail networks in the limelight or to follow demand with a seasonal resort presence, we should see an increase in the number of pop-ups and temporary stores for Saint Laurent and others in 2021. Gucci has a very active 2021 schedule for its Gucci Pin pop-up stores with about 150 events planned throughout the year. The same way we tightened control over distribution in brick-and-mortar, we tightened control over distribution online. Here, our focus is squarely on brand.com, and we are very satisfied with our progress in internalizing our e-commerce sites. Those that are switched, Alexander McQueen in July and Saint Laurent in October have seen sharp increases in the number of visits and in revenues compared to their previous setups. Balenciaga just transferred to our in-house platform, Bottega Veneta is scheduled for late April, and we are confident we'll see a similar boost in visitors and sales. In China, we followed a different calendar. Saint Laurent has been online since June, Balenciaga since July, in addition to Alexander McQueen, which was up and running for the whole of 2020. We are also prioritizing e-concessions, either creating new ones or converting wholesale accounts. Thanks to our recent investments, we were able to handle smoothly a 67% increase in e-commerce revenues to €1.3 billion in 2020. Next quadrant, omnichannel capabilities to which our online internalization gave a huge push. Francois-Henri mentioned distant sales, but we have many other strings to our boat. Ship from store, notably at Saint Laurent, is a feature worth highlighting insofar as it also enables us to achieve incremental sales in cases where orders could not have been fulfilled from distribution center inventories. At 2020 year-end, we had 70 Saint Laurent and Alexander McQueen stores equipped for full omnichannel services, with another 36, including Bottega Veneta and Balenciaga units to be activated in the first half. And last but not least, we have taken advantage of the 2020 situation to drastically reduce our dependence on wholesale, the strategic path that we are intensifying. It is a shared objective, but not a move we are making uniformly across brands. We are weighing it against their respective maturity. While Gucci is already well advanced, Saint Laurent should accentuate its efforts this year and Bottega Veneta in 2022. I want to go rapidly over our growth platforms as 2020 was more a year of execution of our strategy than a year of new decisions. The important point here is that on all fronts, our implementation is on track despite obvious obstacles created by the pandemic. Tighter control over the production of our offering is a priority to ensure quality, capacity and flexibility, and we made further progress in 2020 as new facilities came on stream in Italy. Our logistics transformation program is coming along. Wayne in New Jersey is fully operational as is phase 1 of the Trecate hub in Italy, where phase 2 is scheduled to come online in the second half this year. Work on our APAC and Middle East distribution centers is moving ahead with operations planned to gradually open over the next couple of years. We are also rolling out our forecasting and planning tools across regions, brands and categories, partly relying on artificial intelligence to facilitate flows. Finally, turning to information systems. We are happy with the pace of implementation and integration of our ERP systems. On Slide 25, we have summarized our financial priorities, which are unchanged. We will continue to strengthen our houses, their positions and share of their respective segments. We will do this the Kering way, carefully considering their maturity and their potential. We will also continue investing in all the levers of growth, we just discussed, products, people, distribution, innovations, communications, while calibrating our cost base and maintaining solid profitability levels. Our free cash flow generation will remain healthy as we continuously improve inventory management and optimize working capital. CapEx is primarily related to our store networks and growth platforms and should amount to 6% to 7% of sales. Finally, our capital allocation strategy is well balanced. Our dividend policy has been consistently attractive. This also won't change. Should attractive candidates emerge, we have the financial resources required to acquire and integrate them in addition to the managerial and operational skills this would require. Finally, we will consider returning additional cash to our shareholders. The Board of Directors has proposed a 2020 dividend of €8 per share, unchanged from the 2019 level. This reflects our confidence after the exceptional developments of 2020. And now I'll turn the floor back to Francois-Henri for closing remarks.
Francois-Henri Pinault: Thank you, Jean-Francois. As you have seen in a year of turmoil, we worked hard to achieve resilient performances and protect our assets. We also ensured we were ready for the rebound starting this year with intense commercial activities across our brands. Now I would like to put the spotlight on Gucci for a minute. In 2020, the house reinforced many of its fundamentals and key pillars, but also accelerated strategic initiatives and worked vigorously on its 2021 commercial actions. For example, to be ever closer to its customers, Gucci significantly enhanced its control over distribution and is continuing this year. And by the end of 2021, the relative contribution of all sales should be less than of pre-pandemic levels. As it reaches its centennial, Gucci will pursue its upward trajectory. Leveraging its blend of heritage and creativity, Gucci is in a unique position to broaden its reach. Regarding products, the highlight will be on the signature lines, central to the brand's history, complementing the creative narrative of this milestone year. Having successfully established its unique universe in terms of aesthetics and expression and over the past 5 years, Gucci can now concentrate its major creative initiatives on 2 key moments of the year. At the same time, the brand will implement a new always-on cadence of activities, unleashing even more resources for in-store and digital merchandising events, pop up and pop-ins, capsule collections, either global or tied to specific events or regions and powerful creative collaborations. This intense activity will be supported and enhanced by strong clienteling and 360 degree communication initiatives, fostering the joyful sense of belonging, a key timeless value of the brand.  We are confident that with this new calendar of initiatives unfolding in 2021 and beyond, Gucci will leverage its full potential and deliver a significant and sustainable growth trajectory. So our strategic direction is unchanged. Our priority is is to further improve our execution at all levels and across the globe. We will invest significantly to support the positions and the top line growth of our brands, starting with Gucci. Our growth platforms are central to our strategy, and we have not slowed down our investment in their development, which is running according to plans. Our values presided over all our initiatives in an extraordinary year, our culture of innovation, creativity and caring, provided a solid core to everything we did and push to always do better. While we remain cautious in the face of an ever-changing situation, we are confident in the potential of the group and its brands and in our return to a profitable growth trajectory as we leverage the rebound.  Jean-Francois, Jean-Marc and I are now ready to take your questions. Operator?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Louise Singlehurst of Goldman Sachs.
Louise Singlehurst: Just in terms of Gucci, I suppose as we look forward to 2021, we're now comping in mid-February, the absence of travel. I wondered if you can tell us a little bit more about what you're seeing with the European domestic consumer, specifically with that cohort. And I come back to a comment, I think, you made a reference to offering higher-end products for a more localized customer base. If you could just tell us and explain what that actually means? Is that a reference to having the correct balance today? And then secondly, in terms of e-concessions, there are a couple of references to that in the presentation. You've obviously been leading this with the development of far-fetch initiatives with Pavilion, et cetera. Can you just tell us what the plans are by brand? Is this margin accretive? Is it going to be large enough to really help the longer-term brand margin development?
Francois-Henri Pinault: Part of your question. So first question was locals in Europe. It's true that historically, and particularly at Gucci, the weight of locals in Europe was quite low, and we built the success of Gucci very much on the rise of new customers, of new geography. And as a consequence, in a year like 2020, where everything become locals, we have a very strong potential there. And then, of course, we started to put in place very strong initiatives in terms of client engagement in Europe using the customer service platform of Gucci called Gucci 9 with completely new initiatives in terms of distant selling, distant payments, very high-end video call, private phone calls, consignments, that type of thing, and we had a very strong reaction from our clients in Europe, growing the local customers significantly last year in all brands, thanks to those initiatives. And it's, going forward, a potential that we will exploit even more with all the brands across the board. The second question was about the higher-end product and customer offer. That's part of the extension of the brand that we are working on. And because it's time now, as we said, and I mentioned that in my introductory statements, we established a very strong territory of expression for the brand over the last 5 years brilliantly. And now we have the room to extend that to broaden our reach. And one direction is to develop a much stronger high-end offer in terms of high jewelry, high watch products, made to order to a larger extent, all that type of initiative and precious skins, of course, will be developed significantly, particularly at Gucci, of course. And this is the potential for the brand that we never really tapped yet, and we have a great expectation on that. The first response on the initiatives in this domain has been very strong. So that's part of the extension of the brand territory that we are pushing forward. Jean-Francois, maybe about the concessions?
Jean-Francois Palus: Yes. The fact is that, as you know, our strategic priority remains to further develop our houses' direct e-commerce operations and to capitalize on the success of the internalization of our e-commerce platform. And by the way, yesterday, we launched Balenciaga with a great success. So -- and in the -- in this process of enhancing our control over wholesale, we privilege e-concessions with our online partners, and particularly the ones with Tmall in China because this gives us access to a specific and very broad Chinese digital ecosystem that brings not only an additional window to this ecosystem, but also new clients that are not cannibalizing our own clients on .cn or in the Chinese stores. So this is something that is quite complementary and quite effective and also rather accretive in terms of results since the margin is good, and the concession fees are quite sensible.
Louise Singlehurst: Great. And one other quick follow-up, if I may, on Gucci. I think at the Q3 stage, you mentioned that Gucci group was up around 80% level for Mainland China. Would it be possible to clarify that for -- will give us an indication for Q4?
Jean-Marc Duplaix: Jean-Marc Duplaix speaking. We don't provide more granularity about regional trends. The growth of Gucci in China in Q4 was very strong and very comparable with the performance of the other brands. I think that we saw some broad consistency of the performance across the board with the other brands with continuous development in all the different tiers among the cities and still, of course, Hainan booming. So nothing to mention compared to what we observed in Q3.
Operator: Our next question comes from the line of Edouard Aubin of Morgan Stanley.
Edouard Aubin: And congratulations, by the way, on the key ESG initiatives you're taking. I think you're clearly leading the way here. I guess 3 questions for me. One on Gucci, one on the industry and then one on geography. Francois-Henri, if you step back and you look at the year, last year 2020, I mean, Gucci's performance was in line with the industry. I think it was down 20%, but it was a bit below some of your main peers. And I know it's a difficult question to answer.  But if you try to weight or rank the different factors explaining the relative underperformance for you, is it due to the fact that there was a normalization which was inevitable after the exceptionally high growth rate you had in recent years? Is it due to the fashion cycle maybe turning a bit against Gucci with maybe less bar of more classic? Is it because the share -- your share of voice declined last year or any other reason? So again, I know it's a difficult exercise to do, but just I'd be curious to have your views on that. The second question is on the industry, is you've announced a lot of new initiatives in terms of pop-ups and pop-ins and live streaming and so on and so forth. Do you think the cost to compete is going up versus pre-pandemic years in the industry? And what are the -- if yes, what are the implications in terms of margins for Kering? And then maybe lastly on the geography. So North America was the biggest sequential delta. I mean, clearly, you were cautious on the call, the third quarter call about the sustainability of the trend in North America. And you had talked back then about potentially helicopter money driving some of the sales and so on. What's your view on the sequential decline? Have you seen a change in average selling price in the profile of your customers in North America in Q3 -- in Q4 versus Q3?
Francois-Henri Pinault: All right. So thank you for your questions. There will be long answers. Okay. So when it comes to Gucci in 2020, of course, we have to put in the context of the sanitary crisis, the situation there. For me, it's absolutely not a normalization in neither fashion cycle or whatsoever. There is some very specific elements of the crisis, specific element of the brand when it happened. As you know, for instance, Gucci is very strong on Chinese customers, particularly on the tourism flows, a bit in Korea, in Japan, in Europe, of course. So the brand was affected by that last year. That's an obvious point. Jean-Marc mentioned also some adjustment that we continue to do despite the situation in terms of upscaling the store network of Gucci, which impacted also to a lesser extent. We didn't stop and we even speed up the transformation of our distribution strategy by shrinking the wholesale to have a better control of our sales through our stores, through our website, through our e-concession. And of course, what has been latter on the side in terms of sales in the wholesale channel will be recovered to a very significant extent going forward. The initiative of Tmall, you have to link that with that strategy of wholesale, is really to recover over time what was done through wholesale activities or parallel activities on Internet in China. This will be significantly recovered through the Tmall launch of our flagship which, by the way, has been said, one of the most successful launch in the luxury for Tmall since the beginning. So that's some -- one of elements that could explain some of the performances. The other point which is important that as we announced in '19, we are changing our calendar to make it broader. We are evolving our marketing and creative strategy. Meaning that after establishing over the last 5 years, and as I said very brilliantly, thanks to Alessandro and Marco, a very strong territory of expression that belongs to Gucci with no doubt, and this is very strong. We can now rebalance all the effort, all the resources we put mostly on the creative part of the brand to establish that. Now we are entering a phase where we can rebalance our resources between creative and marketing so this will be done. And we started last year by changing the calendar in 2 main creative events, one started in November, which was, as you saw, a change of date by 2 months. The next one will be in April. Of course, to be consistent with that, the collections are adapted to that. For instance, the cruise collection was pushed by -- to the end of the year, rather to October, to December, to be consistent with this new calendar. And in Q4, we didn't have much newness because of that, of course, so the extension of the cruise will be longer in 2021, up until April, which is a difference in calendar compared with the year before. So you have to take this into consideration. We didn't want to stop everything we were doing in preparing Gucci to continue its amazing growth because of the pandemic. So be it in wholesale, be it in the -- our strategy of creative and marketing events for the brand, this has been implemented as planned, even faster and of course, we are preparing, and that was the main focus of the end of last year. All the savings made in H1 were reinvested in marketing and commercial initiatives that will be taken in 2021. Why 2021? First, it's the 100th anniversary year of Gucci, and it's the first year where we will have this new calendar of fashion events, creative events, marketing event merchandising. This is what we call always on mode will be fully applied in 2021 for the first time. And as you saw at the beginning of this year, this will mean much more excitement from the products, much more emotional bond with the brand through the narratives of the brand that is evolving, as you saw with the Winter in the Park campaign, for instance, new ambassador, fostering on the pillar line of handbags, what we call the beloved lines. New product launch, we will have the reformat of the Bamboo Shopper launch in June after the relaunch in September of the Jackie 61, which was a real success. So all those elements have to be put together to understand where we are. We didn't want to be only short-term focused, would have been a mistake, in my opinion. And just to give you a sense of that, the beginning of the year is very, very encouraging at Gucci. So that's for the first part of your question. Then you asked me a question about a structural change in the industry, the cost to  compete. Now the cost of compete is not changing. It is not increasing. It's changing in terms of how do you compete? We used to put a lot of resources on fashion events, creative events, print and that type of thing. This is rebalance between creative events, as I mentioned, but more merchandising activities, more commercial activities. As I mentioned, you will see this year, just to give you a number in China. We will almost double the number of events that will occur in China in Gucci stores, in stores, out stores, online, offline in 2021. So it's in terms of retail, it's the Gucci apartment, which is a new high-end ways of engaging with our prime clients. It will be pop up, pop-ins inside stores, outside stores, which is new retail format to propel the brand. We will have capsule collection. As I mentioned in my speech, some of them are very regional driven, based on the culture of it -- of certain regions or more global driven as capsule collection. We will enhance and increase the creative collaboration. Creative collaboration has been one of the key elements of the new territory of expression of Gucci. Remember, GucciGhost in 2016. So -- and that will increase also. And then you saw the first very significant one with the North Face in January with another one is starting on the 17th of February, today, with Ken Scott, and you will see that type of activity. So it's a rebalance, a re-affectation of our resources between events, in-store event, merchandising events, retail events and online narratives, brand narratives, fashion events. And in the case of Gucci, as you know, it's 2 key fashion events and not anymore 3. The cruise collection, the Cruise Fashion Show was expensive, was in terms of sustainability, a disaster. That has been canceled so that the resources, for instance, that were put, that were very important on the cruise collection will be re-affected to different type of activity, merchandising commercial activities. And that's what you need to understand going forward. This is a change in the way we operate to propel our brand, to promote our brands and to upscale also our brands. Last part of your question was North America. We'll let maybe Jean-Marc to answer that.
Jean-Marc Duplaix: Yes. Absolutely. And before moving to your last question, maybe additional comments and more -- maybe a little bit technical about the second question. Just to say that, as you may remember, in 2021, we won't benefit anymore from the rent relief even if we are still some pending negotiations and we are still getting some savings, but not to the same extent as we did in 2020. And on top of that, as explained by Francois-Henri, there is a reallocation of expenses between the different lines, but there is a transition phase during which we are chasing the savings in some lines and we are reinvesting in some others. That's the reason why we have already explained that the recovery in terms of profitability would be quite gradual and that we will not jump directly to the profitability we had delivered in most of our brands in 2019. Now coming to North America. It's true that the growth in Q4 by 13% comparable is still very solid, considering that it's a quite mature market. I have reminded that the comp base was quite high, especially because in 2019, we had the signs of the rebound of Gucci in North America. It must be also mentioned that Hawaii is still a drag. So in fact, the growth, if we look specifically, more specifically to the U.S. and Canada, is higher than the 13%. So that being said, also, there was some specific patterns of consumption during the Q4, with still October quite strong and then a more normalized trends since the election, November and December. There are also some regional patterns with the Northern and Western region with growth, which is more subdued, so mostly in New York, for some specific reasons. So what we can learn from this is that -- and what we have discussed with most of the brands is that we start to see some new kinds of clients in the U.S., younger clients. So we see now that our brands are getting traction with millennials, U.S. millennials, which is quite new. And I think it's a huge potential for our brands. And I think that with all the actions we have mentioned for Gucci, but also for the other brands, we will be able also to catch up with the more mature clientele we have on the East Coast and the West Coast.
Operator: Your next question comes from the line of Thomas Chauvet of Citi.
Thomas Chauvet: A couple of questions on Gucci and one on tax, please. Firstly, on Gucci's new chapter of growth, what will be the specific metrics you will monitor in the next couple of years to get a sense that it's working? Is it new customer recruitment, the share of an older non millennials demographic, higher ASP, average baskets, et cetera? And in what way does that differ perhaps from the first chapter of Gucci 5, 6 years ago with Alessandro Michele's turnaround? Secondly, is that new chapter, of course, putting a cap on Gucci profitability. You mentioned that perhaps not returning to previous peak margins. And what's the driver of that? Is it A&P to sales going up with events, Mr. Pinault mentioned? Is it headcount or rental inflation? So generally, OpEx would -- also gross margin not return to previous peaks. And why? And finally, on the tax matters. Could you quantify the various tax risks you've identified at the end of 2020 for the group, particularly with regards to transfer pricing with your former Swiss logistics operation for the French entity, Saint Laurent and Balenciaga?
Jean-Francois Palus: Regarding the metrics that we will use for Gucci in the future to follow up and monitor the trajectory, there will not be any fundamental change, but just an adaptation of the metrics that we're using. Of course, traffic in stores, sales density, i.e., sales per square meter will stay very instrumental. Also, average unit price is also something that is quite important. And then also, as e-commerce takes a greater share, all the metrics specifically related to e-commerce conversion rate and so on and so forth. And obviously -- but again, it will just be an enhancement of what we are doing today. We will also follow the brand's hit on the social media and the share of voice and so on and so forth. So again, it will -- we are going to be quite agile and depending on the area, the domain, the fact that we are focusing on local clients and the CRM activity also will be enhanced, as we said during the speech. So not a revolution, but just an evolution and maybe an enhancement.
Jean-Marc Duplaix: Yes, Thomas, just rebounding on what has been said by Jean-Francois and also bouncing back to the question -- the previous question of Edouard. It's true that typically in the U.S. and not only in the U.S., but the situation is that with the massive transfer of some clients to digital, all the metrics have been -- have changed. So it's very important to fine-tune the way we are tracking the business. And typically, what we saw in the U.S. despite the fact that we have more younger clients is that we have an improvement of most retail KPIs in our stores. And it's true on a worldwide basis, especially in Q4 at Gucci, which is a demonstration also that what we are starting to do in terms of clienteling and merchandising pay off. So when it comes to the profile of the profitability or how the profitability will be built at Gucci. First of all, you mentioned gross margin. In fact, we expect somehow some marginal improvement in terms of gross margin because of the mix with more retail. It's one of the -- also, the objective of the retailization is to have, of course, more control, more exclusivity, but also with an impact on profitability. Considering the scale of Gucci, online business is accretive, as we mentioned. And on top of that, as you know, we have been quite disciplined this year, and we have taken into account the fact that we had more inventories because of the situation. And the markdown reserves had increased, and it had been booked in our operating profit, and I want to be very precise on it, it was in the operating profit, so it had an impact on the gross margin. So we can expect that in 2021, we would have some improvement in terms of gross margin. But as I already told you, the main driver when it comes to profitability in our brands and especially at Saint Laurent and Gucci considering the scale, it's not about the gross profit, but it's also about the absorption of cost below the gross margin. And in fact, it's true that we will increase the cost relating to digital marketing expenses, media buying, but also content, all the clienteling activations that will have a cost, all the clienteling activations that has been described by Francois-Henri, pop-up, retail event, the use of CRM and more distant selling, all the omnichannel services, it increased some pressure on the cost. And of course, all the cost of infrastructure, IT and logistics, you may have heard that the freight, the cost of freight has increased, for example, which has an impact on the profitability. So here, again, I think if we look at the improvement, there will be an improvement of the EBIT margin for this year. And especially, we can expect that concerning the phasing of the sales in 2020, the bulk of the improvement will happen in H1. But of course, you can imagine that I won't quantify what will be the improvement of the EBIT margin for 2021. As regards to your -- the question on the tax, I think that we have already answered in the past to that question. We have already mentioned that we had a very cautious approach when it comes to the assessment of our tax liabilities. And I will stick to that answer in the sense that what we said in the past that the normative tax rate should be around 28%, between 27.5% and 28.5%. That remains the same, as we demonstrated this year. And I believe that when it comes to tax liabilities, all of them are properly accounted for in our accounts now for several years. And I don't expect any impact from any adjustment of transfer pricing on our P&L for 2021 and the years after.
Operator: Our next question comes from the line of Rogerio Fujimori of Stifel.
Rogerio Fujimori: I have 2 questions. First, about Gucci in Asia. Could you talk a little bit more about the Gucci retail performance in your main markets in Asia, 8% in Q4 versus 11% in Q3, and relative to the other brands in the portfolio? And then my second question is about Gucci performance ex travel retail in Q4. I think you gave a number in Q3, which was up 2% without travel retail. Could you give us the same number for Q4? It would be very helpful to compare the evolution quarter on quarter.
Jean-Marc Duplaix: I will try to answer to your 2 questions, Rogerio. When it comes to the regional patterns in Asia Pacific for Gucci, I must say that it's very comparable to what we have observed in Q3, meaning, of course, very strong performance in Mainland China. As we mentioned, Hong Kong and Macau are less of a drag, and it's still negative, but it's not so much as a drag as it was before, which is not a surprise considering the comp base we have. Very strong performance still in Taiwan. Korea is very strong with locals, as it is the case for all the brands in the group. But in the case of the specific situation of Gucci, the brand is still penalized by the fact that Gucci is operating the travel retail directly in Korea. So it has an impact. And when it comes to the other geographies in the region, of course, they are still penalized by the lack of tourism, especially Australia, New Zealand, Singapore, Vietnam and Thailand. So that's what we observed in China with, of course, I mentioned this before, answering to a previous question, Hainan, which is booming. But Hainan, as you know, is operated under a wholesale model. So it does not have a positive impact on our retail performance. When it comes to the question to, which is to restate where the performance with our travel retail. I want to elaborate on that because we mentioned it during Q3 call because I think it was important to remind that there is an impact due to the travel retail on our performance. You can guess that concerning the performance we have delivered and also looking at the like-for-like performance because what we didn't mention, which is probably more important to me, is the fact that the trends on a like-for-like basis has improved in Q4. There is a constant increase with -- on the like-for-like basis.  Q3 still benefited from store openings when we compare the performance for certain of our brands. So the like-for-like trends have improved. And obviously, we believe that probably the trends would be still more positive if we exclude the travel retail, and we can play with a lot of its figures by restating the Hainan performance and looking at the Chinese cluster with Hainan and so on, so we can make a lot of calculation, and we are more interested in long-term trends when it comes to our business.
Operator: Your next question comes from the line of Anne-Laure Bismuth of HSBC.
Anne-Laure Jamain: I have 3 questions, actually, regarding the ongoing streamlining of the wholesale channel for Gucci. So I'm just wondering how much should it account as a percentage of the brand sales going forward. So you mentioned that you reached -- that sales were below 10% at the end of Q4. Is it possible to have a broad idea of what will be the impact in 2021? And when this process will be completed?
Francois-Henri Pinault: This -- as we said, this is a long-term strategy. So this will continue in 2021 and we will bring the share of wholesale to something like 10% of total sales. And this is some -- and with a further reduction to 5%. And again, we will concentrate in order to gain exclusivity. We will concentrate on the 300 best doors throughout the world in order to, again, be more exclusive and to be more in control of our wholesale distribution.
Jean-Marc Duplaix: So I think maybe just that the process won't be fully finalized, but we will have reached a more normative level in 2022, probably.
Operator: Your next question comes from the line of Luca Solca of Bernstein.
Luca Solca: I have a question on the nationality opportunity for Gucci. You talked about the opportunity to increase penetration of domestic consumers in Europe. I wonder if you could share with us sales trends by nationality and whether there was an opportunity to further boost Chinese penetration on top of European and American penetration? It seems that as far as the American consumers were concerned, you produced a fantastic result in the third quarter. I wonder if you could give us more clarity on nationality trends at Gucci to get a better understanding of the opportunity ahead. When it comes to Asian sales, I was particularly interested in Japan and what you observed there. It seems that the fourth quarter could potentially provide an easier comparable because of the VAT increase and the pre-buying last year or in 2019, I should say. I wonder how you've seen the overall business, not just Gucci in this case, but how you have seen the overall business perform in that market? And then last but not least, I was wondering about your M&A criteria. You mentioned that you have the ability to seize opportunities. I wonder if you could share some of your logic here. Would you be open to consider bolt-on acquisitions? Or are you looking, as the trend seems to be in the most recent M&A by peers, are you looking for bigger targets? And is size a criteria or not?
Francois-Henri Pinault: I will elaborate on the nationality. So as you mentioned, we had a strong year last year with Americans. So the American nationality increased last year significantly. As I mentioned previously, we had a lower base of local customers in Europe as we had such a strong position on tourism in Europe. So the work that we started across the brand, in particular, in Gucci, but not only all brands, has been very successful. We have significant growth on local customers last year, of course, from lower basis, particularly at Gucci. And in China, of course, China is difficult to count. As Jean-Marc mentioned, we had still negative figures in Hong Kong, even though less negative than it used to be. We have a rise for all the brands in Hainan in a wholesale format. We are growing significantly online and in stores. So globally, the Chinese cluster, if you were to retreat, but its computation are tricky. But if you were to retreat the rise of Hainan versus Hong Kong, will be positive for all the brands. That's what I can say about the Chinese nationality. Second question was about Japan. Was it that?
Luca Solca: Yes. Indeed, Japan.
Francois-Henri Pinault: So as you saw in our numbers, we did a better Q4 than Q3 in Japan. Things are going easier in Japan. Of course, we are missing in Japan, as you know, and we were strong on that, too, the Chinese tourists that were quite significant in '19. But on local, things are improving going forward, particularly in Q4. Question was then about M&A. So as you saw, our financial situation is pretty good. It's very strong. We are looking closely at any opportunities that would make sense, as you mentioned, Luca. And you know that we have and have very strict criteria in mind in terms of complementarity of the brands. Of course, what is very important to have in mind that the Kering of today is very different from the Kering of 5 or 7 years ago, meaning that we are much stronger at our capability to absorb new brands even at scale -- at a large scale is much higher in terms of infrastructure, IT, CRM capability, logistic capability, e-commerce capability that now is up and running and fully operational. Also, it's true that we are capable at envisioning significant M&A operation, if, of course, any. Having said that, I want to reassess, and I said that many times in the past, we still have a priority on the organic growth of our brand, starting with Gucci, where we are far away from maturity, in my opinion, in terms of potential to grow at Gucci and, of course, for all the other brands, no exception.
Operator: Your next question comes from the line of Flavio Cereda of Jefferies.
Flavio Cereda: Yes. 2 quick questions from me. Number one, I was wondering, internally, what's your thoughts in terms of what the role of China is likely to be in the future? So we're assuming a return of tourist flows, of course, and we have this peak of spend in China in 2020 and probably '21. But do you think -- internally, we must have had these discussions going forward, is your view that we're going to go back to a pre-COVID situation?  Or do you think the Chinese market will remain a much more significant share of the Chinese cluster spend in the sector? And in that case, are you comfortable with your current price architecture going forward, specifically, of course, the price differential between China and Europe? And my other question was referring to Slide 24, where you mentioned production manufacturing, about investing in production footprint in Italy. And I remember reading recently an interview by Bizzarri on the Italian press, where he was envisaging the potential to take direct state in some of your suppliers, not necessarily controlling states, but to be more significantly involved in therefore, to strengthen the supply chain. And at the same time, I suppose, help out the supply chain, that in Italy has been under a degree of pressure. Is that a policy which is likely to be significant and ongoing as well?
Francois-Henri Pinault: Thank you for your question. So concerning China, yes, first of all, I'm absolutely positive in the fact that in terms of tourist flow, this will come back, probably not this year. What we anticipate is probably a progressive return of touristic flows, probably at regional level to start with in the second part of the year. So -- but going forward, we are -- I'm pretty convinced that this will come back considering the appetite for travel that we measure in China going forward. So that will come back very significantly. And this is why our positions on that type of business is -- was strong and will remain very strong going forward because of that. Then the price -- what also I can say about that is that it won't be an offset. If tourism flows comes back, I don't see a decrease of local customer buying level in China either.  What happened last year, of course, part of the purchases that were done during travel were done locally, but not that much because in the psychology and the culture of China, travel, leisure travel, goes with shopping. So if there's no leisure travel, there's less shopping or no shopping. What happened in China is a continuous increase of the luxury market in terms of number of customers coming to us, and this will remain. So it will be incremental the day tourism comes back, incremental to what happened last year at a local basis in China. Then when it comes to price architecture, what is important to us, it's to maintain a decent price difference between Europe and China. And this will -- and this is what drives us in our price policies, and this will remain something important. Price gap between around 25% for us is something very relevant between Chinese prices and European prices going forward. The fact is also that we have a very strong pricing power in the brands, particularly at Gucci going forward. So we will, of course, use that in all the regions going forward as a key element, a big driver for growth also on top of what I said previously. Concerning the production and supply chain, Jean-Francois?
Jean-Francois Palus: Yes. Regarding manufacturing, as you know, our brands have, for a long time now, internalized the upstream part of manufacturing which are -- which is prototyping, sampling and even cutting. And all of them have this in-house with a very tight control. Regarding the downstream part of manufacturing, there is indeed this momentum in this process of increasing internalization, which can take the form of having production in-house or with a very tight supervision. And all our brands are -- they went into this direction. Gucci, since a long time now, starting 20 years ago, and complementing this. Saint Laurent also with new plants in Italy, Balenciaga, too, and Bottega will also enhance their internalization in terms of shoes. And McQueen is considering to buy back a vendor that -- in order to start internalization. So yes, indeed, internalization is something that we have on our world map.
Operator: Our next question comes from the line of Zuzanna Pusz of UBS.
Zuzanna Pusz: I have 3 questions, please. So the first question would be just a follow-up on comments you've made that at the beginning of the year has been very, very encouraging for Gucci, which I think is a very positive comment. So I just wanted to understand what it means exactly? Because if I remember correctly, you had a very strong start to 2020 last year, and then it kind of got slightly wiped out by COVID starting in Italy first. So the Q1 was weaker. But would it be the right way to read that? Perhaps Gucci return to growth in retail year-to-date, so that's just to clarify that point. Second would be on M&A. So you've made some very useful comments so far. But I just wanted to check, I mean, you've many times mentioned to us your criteria. And obviously, I know we keep on annoying you with more and more questions. But I was just curious if there are any specific categories, which you feel strongly about, given your broad experience within the group. So perhaps, I don't know, you would avoid brands with a very high ready-to-wear exposure because you think it's very difficult to break into leather goods with such brands. So any thoughts related to that would be very helpful. And finally, just a follow-up on A&P. So I just wanted to understand because my impression is at least that I think that will be the main building block of understanding where the EBIT margin will be this year versus 2019. So would you be able to tell us where was A&P as a percentage of sales for Gucci in 2019? And I'm probably going too far, but what could be the level we could anticipate this year? I mean, even comment like mid-single digits, low single digits already, that would be very helpful.
Francois-Henri Pinault: Thank you, Zuzanna. So yes, as I said, we have very encouraging beginning of the year. You're right to say that it's difficult to measure. As you know, Chinese New Year last year was much earlier. There is roughly 20 days between this year, which was on the 12th of February and last year, where it was in January. Plus, as you remember well, the lockdown measure in China last year started on January 25 in Wuhan and then was expanded going forward to the whole country. So what we do, of course, we monitor very closely compared with last year, compared with our budget, compared with '19. So it's all those things combined that we are above expectation. And as you know, 2021 for Gucci is a very strong year. It's the centennial year for the brand. So -- and we have a rollout of operation, as I mentioned, due to the change of our creative and marketing model. So as I said, for instance, the first strong operation, as you saw, was North Face, where North Face was highly successful, just to give you an example. We innovate with a digital raffle for people to have access to the collection prior to the launch of North Face, and we had 1.7 million people registering for that raffle. So -- and numbers have been very, very strong. So that's, of course, very sensitive to the -- in the comparison base and the way of measuring, this is -- will be complicated going forward probably in H1. But still, we were ambitious and we are very satisfied with what is happening right now in Gucci. Then you asked me about just Gucci. I'm mentioning retail. As you know, we are continuing our wholesale restructuring, Gucci, as I mentioned. Now we will start to gain -- regain a significant part of what has been a drop in wholesale in our retail operation being online or offline. So that's part also of what you have -- you need to have in mind for 2021. Concerning M&A, I mentioned I would not repeat what I said about that we are looking at any opportunities that could make sense for the group, for ourselves. It's true that the category is part of the criteria we're looking at. The thing is we look at global brands where categories could be well balanced going forward, and we have a know-how for that. So if we had an opportunity in a brand with a category that is overexposed to the other, if we think that we can, regarding our know-how, rebalance that and reinforce the brand and grow the brand in a more well-balanced way, we'll do it.  So it's not excluding some categories because they are overexposed. It's more about what is our know-how in dealing with brand repositioning. And as you saw, Saint Laurent, Gucci, Balenciaga, Bottega, all of those brands, McQueen have been repositioned very successfully over the last 5, 7 years. So we have now a learning curve that is very strong on that. So we feel quite strong and comfortable in applying that to a target that deserves it. One category that we don't consider because this market has been tough for many years now, is the watch category that we won't make any move on that category, just to be precise on your question. I will maybe let Jean-Marc on the A&P.
Jean-Marc Duplaix: Yes, sure. And before taking your third question, Zuzanna, just to complement maybe what has been said by Francois-Henri about the first weeks of Gucci. It's also interesting to see that in terms of performance in retail, Gucci is very aligned and very consistent level of performance with all the other brands of the group and in some countries, leading the way. So that's interesting if you compare to what we have delivered in Q4 or Q3. Just -- so I think that you were conscious that I would not answer to your question, which is a good start. However, what I can tell you is that we keep the same intensity in terms of investment in A&P, meaning that the percentage compared to the sales is, in fact, quite stable or even is increasing compared to -- if we look at the last few years, in fact, we have constantly slightly increased the percentage of A&P. So considering what has been the boost in terms of sales of Gucci, multiply by 2.5 between '15 and '19, you can imagine that at the end of the day, also the A&P budget has been multiplied by more than 2.5. So we are keeping more or less the same policy in terms of percentage of A&P compared to the sales. It does not change so much. What has changed is, of course, the reallocation of budget to digital. And if we look at the media spend or the production of content, of course, now we have a majority of the investments allocated to digital. And in fact, Gucci was quite early in transferring or reallocating its A&P budget. Most of the brands now are quite comparable to Gucci in terms of allocation of the expenses. And for sure, this trend will continue in the sense that, of course, print advertising and all the other more classical media, of course, will be less important than in the past.
Operator: Your next question comes from the line of Alexis Albert of DNCA.
Alexis Albert: Can you hear me?
Francois-Henri Pinault: Very well, indeed.
Alexis Albert: Okay. Great. So I've got 2 questions, if I may. The first one is regarding margin and profitability. Is using H2 2020 a good way to look at margin for full year 2021? When I look at what the margin of 2019, 2018, I'm trying to think that H2 2020 could be a good way to look at the margin for the full year 2021. First question. Second question is regarding the Gucci organic sales growth in Q4 2020. What I'm struggling to understand is that because, obviously, the -- and don't get me wrong, it's not a critic. But I'm just trying to understand the dynamic, the momentum of Gucci and Q4 performance in Asia was for me a bit disappointing. And I'm trying to understand because when I look at your peers, your peers actually accelerated in Q4 versus Q3, and you actually decelerated. And I understand why Europe was difficult because of what you mentioned during the call. But for me, it's slightly more difficult to understand what happened in Asia in Q4. So those are my 2 questions.
Francois-Henri Pinault: Okay. I will start by the second question. I will let Jean-Marc come back on the margin. As I mentioned, we have a very specific year, and we set an action plan last year with Gucci that was very specific to prepare 2021 and the years going forward. I mentioned the structural change of our calendar of our model of growth based on creative and marketing initiatives. And of course, decisions were made last year, and I mentioned one, for instance, as you know, the cruise collection is the biggest collection of the year traditionally. That collection to fit the new calendar was pushed to December.  And of course, we didn't have newness in Q4. So that impact the sales, that impact the average selling price also. So that's why the -- it's irrelevant to use Q4 to go to conclusion, long-term conclusion on Gucci. That would be so wrong. As you understood also, we didn't stop and we even speed up the restructuring of our wholesale distribution channel last year. So that was a deliberate action plan, closing doors, restructuring our presence in America in department stores last year. And that, of course, has impacted very much the level of sales of Gucci. Again, I'm repeating that, but it's important we restructure wholesale to regain those sales, those customers who were buying wholesale to a significant level in the next 12 to 18 months. And again, the launch -- the example I took, and I remind you that the launch at the end of last year of our flagship on Tmall Luxury Pavilion, which is very, very strong, bringing strong results very significantly above expectation, is part of this strategy to regain those sales that were done now into the retail model into this concession. And this is true. As you know, we are transforming all our wholesale operation online to e-concession, and this will happen going forward this year. We have discussion with NET-A-PORTER, with MatchesFashion, with Mytheresa, with all those guys to transform to concession. This is also part of the strategy going forward. That's why it's a very, of course, very specific because of the crisis, but also because we are changing this model. It was announced in '19. We decided not to slow down anything because of the sanitary crisis. And in some examples, as I mentioned, in wholesale, even, accelerating some of those action plans. So this is why I am very confident what we are building at Gucci this next phase with this new model of growth going forward. And as I mentioned, the beginning of the year is very interesting at Gucci for that.
Alexis Albert: Okay. Okay. Just -- if I may just follow up on that comment. Would you share with us retail sales in Asia for Q4? Just to strengthen your message on that point.
Francois-Henri Pinault: Could you repeat, please?
Alexis Albert: I was just saying, in regard of what you've said regarding restructuring all sales and everything, would you share with us the...
Francois-Henri Pinault: Jean-Marc will give you the number. But yes -- but again, retail sale in Asia, we're doing very well in Taiwan, very well in Korea with locals. As you know, this is why it's difficult when it comes to Gucci. Gucci is very strong in travel retail in Korea, and this is under the retail model. So this is impacting the retail sales, which is not comparable with other brands of the group. We have the phenomenon of we are growing very fast in Hainan under the wholesale model, whereas in Hong Kong, we are -- as you know, marketing comp was retail and is decreasing. So altogether, it's complicated to measure that. But Jean-Marc, would you like to add?
Jean-Marc Duplaix: It's on Page 10 of the presentation, where we have the retail sales of Gucci per region. And in Asia Pacific, it's a plus 8%. And we don't provide more granularity when it comes to the different part of the region. Having in mind that, as we said before, it was still a very strong performance in Mainland China.
Alexis Albert: Okay. Great. And regarding margin, is the H2 a good way to look at full year '21?
Jean-Marc Duplaix: I won't use H2 as a proxy for -- to assess what could be the margin for next year, for 2021, considering the seasonality in terms of profitability, that H2 is historically stronger in terms of profit due to the fact that you have a linearization of the cost and you have slightly more revenues in H2 compared to H1. On top of that, you will have an intensification of clienteling and marketing activities this year in 2021. So that at the end of the day, I think the H2 margin for all the brands, not only Gucci, does give a sense of what could be the improvement in terms of EBIT margin, but I would not use it certainly as a proxy. I think in mind that H1 would be slightly a drag compared to 2020. Of course, there will be a massive improvement of the EBIT margin. So it does give a direction, but it's not a proxy.
Operator: And your final question comes from the line of Graham Renwick.
Unidentified Analyst: I just had one last question on Gucci's longer-term profitability. You talked about a more gradual recovery to 2019 levels. But when we think about Gucci profitability longer term, do you think Gucci can ultimately exceed 2019 margins in time, perhaps as you continue to unlock supply chain efficiency, the fact that e-commerce should turn more accretive as you scale? Or should we think that once you get back to 2019 margins, you may look to then reinvest any incremental margin opportunities and prioritize growth at that point?
Francois-Henri Pinault: Thank you for your question. So as Jean-Marc mentioned, 2021 is a year of investment. It's a year where it's the new millennial year for Gucci --- centennial not millennial. Sorry about that English this morning. So we will invest this year. But for sure, over the long term, we will recover not far away from 2021. I won't say a year, but we will go back to where it was in '19 and above the brand as that what is it put in place at brand level in this -- not only in retail, but what is at stake in marketing, customer engagement. Gucci is leading the race in the industry on that. What is putting in place in terms of the supply chain of Gucci, the new tools we're using, the logistics, where we have significant room for improvement with a strong impact on profitability.  So at the end of the day, not only we will recover '19, not long term, but in very visible horizon, but we will go beyond that. That's the target. That's our ambition with Marco going forward. All right. Thank you all for your attention this morning. As you understood, 2021 is going to be a very exciting year for Kering, for all the brands, no exception, particularly Gucci. Thank you for your attention. Thank you for your interest in Kering. We hope you have shared with us our enthusiasm and confidence in our strategy and prospects as we emerge from a year of disruption, to say the least. And I'm sure that you will have other questions to ask us. And of course, for that, Claire and the team will be there to help you during the year. We will, on our side, keep you updated on our progress, as usual, during the year. And in the meantime, please, all of you stay safe and have a very nice day. Thank you.
Jean-Marc Duplaix: Thank you.